Operator: Ladies and gentlemen, thank you for standing by. I'm Mira, your Chorus Call operator. Welcome, and thank you for joining the Second Quarter 2014 Analyst Conference Call of Deutsche Bank. [Operator Instructions] I would now like to turn the conference over to John Andrews, Head of Investor Relations. Please go ahead.
John Andrews: Thank you. Good morning, everyone, and thank you, operator, and thank you for joining us this morning to discuss our second quarter results. As usual, the call will be led today by our co-CEO, Anshu Jain; and our CFO, Stefan Krause. Anshu will give you some opening commentary and highlights for the quarter, and then Stefan will take you through the more detailed analyst deck. As always, the presentation materials are currently available on our website. We remind you to pay attention to the cautionary statements regarding forward-looking statements at the end of the presentation. And with that, I will turn it over to Anshu.
Anshuman Jain: Thank you, John, and good morning, everyone. As you will have seen by now, we produced a solid set of results this quarter. Pretax profits were EUR 917 million, up 16% year-on-year, and our Core Bank continued to deliver strong profitability with pretax profits up slightly at EUR 1.5 billion despite tough operating conditions. As always, I'd like to highlight a few notable developments during the quarter. Let me turn first to capital. As you know, we took decisive action to strengthen our capital base in 2 key steps during the second quarter. We raised EUR 8.5 billion of common equity through a rights issue and private placement. We also raised EUR 3.5 billion of additional Tier 1 capital and we were gratified that demand exceeded supply by around 7x. These 2 issues reflect our commitment to 2 objectives: first, to build a capital strength that supports our business model and enables us to grow our franchise; and second, to put responsible safeguards in place and play our part in strengthening the safety and stability of the banking system. Now let me discuss our core businesses, turning first to CB&S. Some of you understandably have asked 2 particular questions about this business. First, you've asked, whether given tight control of resources, we might be losing market share. This quarter, CB&S produced pretax profits which were up 17% year-on-year. Revenues were stable, a strong result relative to the industry for the second consecutive quarter. In Debt Sales & Trading, revenues were strong in relative terms, and we regained our global top 3 position in global fixed income. Furthermore, we produced resilient revenues in equities trading, reflecting an increase in capital markets and advisory activity. Second, you've asked whether the challenges facing this business are structural or cyclical. The answer, clearly, is both. We're taking specific steps to address the structural issues the industry faces. We expect the challenges around volumes and volatility to persist in the near and medium term. To address the cyclical challenge, we remain committed to continuing to adjust our platform, where needed, to deliver acceptable returns. Deutsche Bank's business model is based on 4 strong pillars, so let me now turn to the 3 core businesses outside CB&S, which accounts for around 50% of our profitability in the quarter. Turning first to PBC and Global Transaction Banking. Both these businesses faced headwinds during the quarter with near 0 interest rates in core markets, margin pressure and ongoing investment into franchise growth. Despite these conditions, both businesses produced solid results, which were on a par with the second quarter last year, excluding certain one-off effects. Let me turn finally to Deutsche Asset & Wealth Management. This business was under strategic review when we launched our new strategy in 2012, and we made a clear commitment to it as a core business. Deutsche Asset & Wealth Management faced the most complex organizational task, turning 5 businesses into a single integrated platform. The progress we are making is evident this quarter. We have more than doubled pretax profits year-on-year, improved revenue quality and attracted some EUR 11 billion in net money inflows, our best quarterly inflows since 2010. Finally, a word on costs. Our Operational Excellence Program, or OpEx, continued to deliver results this quarter. We generated more than EUR 250 million of additional savings, which brought our accumulative savings for the program to EUR 2.6 billion, well on track versus our year-end target of EUR 2.9 billion and our program target of EUR 4.5 billion. Simultaneously, in a changing regulatory environment, we continued to make investments in our systems and controls environment. Near term, these investments will counterbalance savings from the OpEx Program. However, in the long term, this makes us a stronger bank. Now let me hand over to Stefan, who will go through the financial results. And after that, we both look forward to your questions. Thank you for your attention.
Stefan Krause: Thank you, Anshu, and good morning, and thanks for joining us. Let's start with the highlights of the quarter. If you turn to Page 1, group income before income taxes, you can see, was EUR 917 million, 16% higher from the second quarter last year. Core Bank IBIT increased by 2% to EUR 1.5 billion. The estimated fully loaded Core Tier 1 ratio was 11.5%, and our leverage ratio was 3.4% on a fully loaded basis. On an adjusted basis, the ratio stands at 4.1%, 90 basis points up versus end of March. By the way, from this quarter on, we will change our reporting and use the fully loaded leverage ratio on a going-forward basis. Let me turn to Page 2. This slide, as you can see, illustrates the underlying results of our Core Bank in the quarter of EUR 2.4 billion, in line with last year's quarter. We are now at EUR 5 billion pretax adjusted IBIT for the Core Bank within the first half year of 2014. I think this reflects the underlying earnings power of our platform. But let me address now some key current themes, capital leverage and litigations, before moving on to the group and segment results. So let's turn to Page 4. As you can see, our capital raise increased our key ratios, created capacity for further business development and gave us a buffer for a number of uncertainties, including, obviously, the prudential evaluation where we retain our past estimate of potential impact but the precise impact and timing remain uncertain; CVA, RWA, where the new technical standards must be implemented; potential incremental capital requirements from the transition to a single regulator this year, here, we have no specific known items that may impact capital, but are cognizant that there could be incremental issues arising as the ECB takes over, possibly resulting from harmonization across Europe or from regulatory conservatism, which may differ from IFRS accounting standards; potential capital impact from AQR and stress tests, if any, which we will have greater certainty about in the fall; and last, but not least, the expected significant increases in operational risk RWA due to the industry-wide litigation settlements and continued regulatory focus on operational risks. The net impact is that we do anticipate some decline in our Core Tier 1 ratio in coming quarters and to the extent our reported capital is impacted, our CRD4 leverage ratio, before it picks up again due to our retained earnings momentum. Let me now give you more details on our solvency and leverage ratio movements in the quarter. Page 5. We illustrate the trends in Core Tier 1 and capital, as you’re accustomed, our Common Tier cap 1 capital increased by EUR 10.7 billion from the first quarter 2014. The increase principally reflects gross proceeds from our share issuance of EUR 8.5 billion and, obviously, a further EUR 1.3 billion for the related 10/15% effect, net of issuance cost and dividend accruals for the newly issued shares. The remaining EUR 900 million increase includes a number of items as illustrated, starting with positive contributions from lower DTA-related deductions as a result of positive taxable income, lower other capital deduction items and a positive FX effect, as well as net income. On the other side, dividend accruals and unrealized gains and losses, including a capital charge taking on a specific NCOU asset, lowered our Core Tier 1 capital by EUR 0.5 billion in the quarter. RWA increased by EUR 25 billion, including EUR 3.7 billion in relation to the capital raised and EUR 1.5 billion from FX effect. The largest increase was EUR 7.8 billion related to operational risk RWA. Principally, all the model and methodology changes in CVA, RWA were higher by EUR 4.9 billion, including a regulatory adjustment of EUR 2.5 billion. Taken together, this means just over EUR 10 billion rule-related RWA increases for this quarter. That said, credit risk RWA increased by EUR 2.7 billion with CB&S being the main driver, and market risk RWA were up by EUR 4.6 billion, primarily relating to trading book securitizations. Now let me turn a little bit more in detail to leverage on Page 6. The quarterly increase in our CRD4 fully loaded Tier 1 capital mirrors those in our Core Tier 1 capital, most notably our equity raised, but also includes the EUR 3.5 billion proceeds from our successful additional Tier 1 issuance. On the exposures side, we saw an increase of EUR 24 billion over the quarter or EUR 15 billion, excluding effects. When looking at this increase you should consider that the EUR 8.5 billion proceeds, or the large majority of the EUR 8.5 billion proceeds from our capital raise, came in right on the last days of the quarter. That said, we saw reductions in NCOU and derivatives, which, however, were more than offset by increases in trading inventory and cash and other assets. Here, we also saw increased client balances being placed with us. All said, we regretfully had a miss of our internal targets, and you should read this quarter's development in no way as a change in our stated objective to continue our tight balance sheet discipline. For the second half of 2014, we clearly expect to realize further reductions in our leverage exposure and remain well on track to deliver against our 3.5% target for 2015. We move on to Page 7. As you can see, we increased our litigation reserves to EUR 2.2 billion and the contingent liabilities to EUR 3.2 billion in the second quarter of 2014, reflecting principally the potential impact to the bank of recent settlements by others. In the second quarter, we booked approximately EUR 450 million of additional litigation provisions, roughly 25% below our provisions of last year. We are monitoring our legal cases very closely and ensure that all matters are at all times appropriately reflected. It is in our interest to resolve these matters as swiftly as possible. However, there is significant uncertainty as of the timing and size of potential litigation impact beyond our influence. So let me now turn to group results on Page 9. You see that our group revenues were down EUR 355 million versus the same period last year, and this was mainly driven by a nonrecurring item in NCOU. I will discuss overall revenues in more detail in each one of the business division's sections. So let's turn to Page 10. Credit loss provisions decreased materially from the second quarter of 2013. A significant part of the reduction was from lower credit losses for IAS 39 reclassified assets and a specific gain from asset sales in NCOU. In our Core Bank, we continued to record very low levels of provisions for credit losses. These reflect, on the one hand, the current benign economic environment and, on the other hand, demonstrate the consistently strong credit quality of our books. Let me turn to costs on Page 11. Noninterest expenses, you can see, reduced by EUR 257 million from the second quarter of 2013 to EUR 6.7 billion in the second quarter of 2014, while litigation costs were about EUR 160 million below the second quarter of the previous year. This was partially offset by higher policyholder benefits and claims. Predominantly, the cost reduction was achieved in our adjusted cost base, which we see as our true operating cost base. Let me cover the details in the next page. If we look at Page 12, the adjusted cost base was approximately EUR 200 million lower than the same period in 2013. Our OpEx Program continues to deliver, and we realized savings of more than EUR 250 million in the second quarter. Our total OpEx savings life [ph] today accumulated EUR 2.6 billion. As highlighted last quarter, we continued to face higher costs related to regulatory audit and control requirements amounting to more than EUR 200 million in the quarter. These costs include the impact of approximately EUR 45 million from higher compensation costs related to the new CRD4 compensation rules. We estimate the full year impact of CRD4 compensation expenses to be more or less around the EUR 300 million. Furthermore, we achieved about EUR 100 million additional cost reductions, for example, from the deconsolidation of BHF. As I indicated in the first quarter results call, we expect our full year 2014 adjusted cost base to remain roughly flat versus 2013 despite the regulatory headwinds, as we are confident to reach the targeted accumulated OpEx savings of EUR 2.9 billion by the end of 2014. There have been press rumors about an extension of this OpEx Program which are not accurate. According to our plan, the OpEx initiative allows us to achieve our cost-to-income ratio target of 65%. As part of our new culture, ongoing cost focus, of course, will remain an integral part of DB. So let me move on to Slide 13. And here, you can see our pretax profit was EUR 917 million. Our net income in the quarter was EUR 238 million. Our effective tax rate continues to be negatively impacted by nondeductible litigation expenses. In addition, this quarter's income tax expense also reflects adjustments for income taxes of prior periods. Absent those one-offs, we expect the effective tax rate to be between 30% to 35%. On Page 14, you see our reported group post-tax RoE for the first half year was 4.7%. The Core Bank's adjusted post-tax return on average equity, applying a tax rate of 35%, was 13.4%, which highlights the strength of our underlying franchise. So let me go on to segment results now. Let me start with CB&S on Page 16. As you can see, CB&S had strong results in the quarter, particularly relative to peers who have reported thus far. Revenues were flat year-on-year despite challenging trading conditions in key products, and IBIT increased 17% as a result of lower expenses. These results are -- also underscore the improvements we are achieving in CB&S efficiency, as the stable revenues and improved IBIT were achieved despite lower assets and headcount over the last year. Adjusted costs in CB&S, which exclude cost-to-achieve and litigation, were also lower despite higher regulatory-related costs and ongoing investment and platform enhancements, which reflect the solid progress we are achieving on our cost reduction program. The adjusted post tax RoE for the first half of 2014 meets our targeted returns for CB&S, but we will continue to dynamically optimize resources in CB&S going forward. Move on to Page 17. As you can see, our Debt Sales & Trading revenues held up well despite a clearly challenging FIC market in the second quarter. Macro products like foreign exchange and rates revenues were lower and were particularly affected by low volumes, historically low levels of volatility and the reduced risk appetite by clients in the quarter. However, debt was offset by strong performance in a number of credit businesses, in particular, in Credit Solutions. RMBS and Flow Credit also had good performances versus a difficult second quarter of 2014. The results this quarter underscore the breadth and diversity of our fixed income business with strong franchises in key businesses and geographies. We move on to equities. We had -- also had a good result despite a challenging operating environment of low volatility and volumes -- and a challenging comparison as the second quarter of '13 was a very strong quarter. Cash Equities was resilient despite low volume. Equity Derivatives were down largely because of reduced volatility. Prime Finance revenues were slightly up year-on-year as higher client balances were offset by lower spread. Page 18, you see that DB's Global Corporate Finance revenue increased 10% year-on-year, driven by both slightly higher fee pool and market share gain. DB ranked #5 in Global Corporate Finance based on Dealogic fees, with a record 5.6% market share in the first half of 2014. In the second quarter, DB ranked #4 in terms of market share. In EMEA, DB ranked #1 with a 7.9% market share. In M&A, revenues were up 18% year-on-year as we consolidated our market-leading position in Europe and made significant market share gains in the U.S. Our ECM revenues increased 30% year-on-year, driven by a strong deal flow especially in Europe. This was our strongest quarter since the fourth quarter of 2010. We ranked #5 globally in ECM at the end of the second quarter 2014 with a 5.2% market share. High yields saw a record issuance in the second quarter of 2014 after a weak first quarter. DB ranked #2 in high yield at the end of the quarter with an 8.7% market share. Move on to Page 19. As you can see, PBC also delivered a solid IBIT of EUR 403 million in the second quarter. Adjusted for cost-to-achieve, the pretax profit was EUR 497 million. The reported IBIT decrease for prior year second quarter was for one-off items last year of about EUR 100 million. Also, the decline from the previous quarter is largely due to a one-off gain of EUR 70 million in the first quarter of 2014. Lending revenues went up year-on-year, partially driven by solid volume growth. We are pleased that deposit revenues were resilient despite margin pressure from ongoing lower interest rates. Cost-to-achieve decreased compared to the second quarter of 2013 and first quarter of 2014, but is yet expected to increase in the second half of this year. Let me quickly run you through PBC's divisions on Page 20. Private & Commercial Banking showed stable revenues compared to prior year second quarter, largely benefiting from strong credit product revenues and also increased revenues from investment and insurance businesses. The IBIT decline as of the first quarter of 2014 was mainly driven by a one-off gain in prior quarter and seasonally lower investment and insurance income. The IBIT development in Postbank was influenced by nonoperating effects. Lending revenues increased, offset by lower deposit revenues due to the ongoing strategic volume reduction in Postbank. Advisory Banking International delivered a very stable IBIT development as the second quarter of 2014 was significantly higher due to a release from the Hua Xia Bank credit card cooperation, as you may remember. As you are aware, Advisory Banking International revenues are, to a large extent, driven by our investment in Hua Xia Bank. So we move on Page 21 to GTB. Our GTB business has been facing a significant change in the market environment since the Investor Day in 2012. Low interest rates, highly competitive margins and adverse FX movements significantly impact the top line, while the underlying business trend is very encouraging with volume growth counterbalancing the impact of external sectors to a great extent so far. In this environment, GTB revenues were stable year-over-year, even though the second quarter of 2013 included a gain from the sale of our Deutsche Card Services businesses. The increase in provision for credit losses quarter-over-quarter is primarily related to a higher provisions in the commercial banking activities in the Netherlands. Noninterest expenses were affected by a litigation-related charge, driving the year-over-year increase. Furthermore, we invested in platforms to enable business growth and increased expenses to comply with regulatory requirements. Page 22, I turn to Asset & Wealth Management. Deutsche Asset & Wealth Management delivered an IBIT of EUR 204 million in the second quarter. Excluding cost-to-achieve litigation and impairments, the IBIT was EUR 298 million. This quarter was the strongest in terms of net flows with roughly EUR 11 billion mainly into higher-margin businesses. Revenues developed positively versus prior quarter and last year, mainly benefiting from an increase in management fees and growing recurrent revenues. Furthermore, the disciplined execution of our efficiency program and portfolio optimization measures are positively impacting the cost base. Adjusted cost decreased by 2% year-over-year. On Page 23, I cover the NCOU. As you can see, the NCOU reduced CRD4, RWAs by more than EUR 2 billion at a net gain, demonstrating success at ongoing derisking. From a leverage perspective, the balance sheet has also been reduced by a further 7%, mainly from asset sales. In terms of financial performance, the net revenue line included a EUR 300 million loss from the restructuring of Maher Terminals' debt in the period. Excluding this impact, the second quarter results represent a relatively benign quarter for the NCOU. One driver is that litigation costs remained benign for this quarter. However, we expect the environment to remain a challenge whilst legacy matters are being resolved. We will provide more detail on the IBIT performance in the Appendix that you can then refer to. If we look at Page 24, and you looked at derisking activity for the second quarter. We have completed specific CRE asset sales as there is further risk reduction in the credit correlation book. However, in terms of RWAs, this positive impact from derisking was partially offset by other factors, mainly an increase in our market risk RWA calculations. From a leverage perspective, the NCOU has progressed significantly against the reduction targets we set this time last year, and we will continue to focus on balance sheet reduction over the coming quarter. Now let's turn to the last page, Consolidation & Adjustments. As you can see, Consolidation & Adjustments reported a pretax loss of EUR 223 million in the second quarter of 2014 compared to EUR 205 million in the prior year period. This includes internal costs related to our capital increase in the second quarter of 2014. Before we are moving to the Q&A part of our call, let me comment on our regulatory reporting in the U.S. in light of some media reports of the past days. Like many of our peers, we are investing heavily into the systems and processes we need to ensure that we fulfill our regulatory reporting requirements. As we've stated, we are investing EUR 1 billion to ensure our systems and controls are best-in-class. We're dedicating 1,300 people to the effort, including around 500 being hired in the U.S. this year. We're building a long-term sustainable strategic architecture to meet this requirement. By its nature, debt architecture is complex and will take time to complete. Nonetheless, we are confident that the program we have in place will fully address our regulatory reporting requirements within the necessary time frame. That said, please keep in mind that these statements refer exclusively to our regulatory reporting requirements. Our financial reporting has always been reliable and accurate. With that, Anshu and I would be delighted to take your questions.
Operator: [Operator Instructions] And the first question is from Kian Abouhossein of JPMorgan.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: I would like to focus, in particular, on 2 things. One is risk-weighted assets. You seem to have more or less already hit your targeted risk-weighted assets for the end of the year of EUR 395 million. You're slightly above that. And I'm just thinking -- wondering how should I think about risk-weighted assets moving forward for this year, but also into 2015, '16, considering you're highlighting, clearly, still some regulatory uncertainties impacting your capital base. That's the first question. The second question is on assets. I'm just wondering, how do you manage asset reductions in terms of process? I mean, on Slide 34, you indicate EUR 1.1 trillion of assets, roughly. I would've expected in an organization with so much assets, you can just go out and indicate, "I want 10% asset reductions" -- and we've seen some other firms doing a lot of asset reductions, Goldman in the U.S., in particular, in 1 quarter. And I just don't understand why it's so difficult to reduce these assets.
Stefan Krause: Was that all, Kian? Yes?
Kian Abouhossein - JP Morgan Chase & Co, Research Division: Yes.
Stefan Krause: Yes. Okay. Thank you for your questions, Kian. So let me tell you on the RWA. Obviously, this RWA increase is based on methodology changes, in particular, for operational risk RWA. I think that's a trend you see in the industry in general, where we have updated our current modeling approach and changed it to include forward-looking components, and that's, I think, a change that we will see in the industry having more, obviously, the big operational losses that all banks were suffering are having an impact here. And we had a further CVA, RWA increase. It was in relation to the methodology changes that was highlighted in our first quarter communication, and the remaining RWA increase for the -- was the business due to investments in our businesses that are meant to stabilize the franchise platform in line with our early communication as well. That was obviously business-related increases here as well. So overall, and you're right that we are at the almost EUR 400 billion longer-term target that we had, we expect this to continue to be more or less flat. Obviously, what I can't predict is some of the outcomes that, obviously, the ongoing uncertainties that I will refer to at the beginning of my presentation might really mean. But our view is that we should be a bank around this level for the next 2 years. And then, obviously, hopefully, business grows, in turn, it will allow us to continue to grow.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: And if these regulatory uncertainties hit you with more capital that you highlight on Page 4 -- I'm sorry, on risk-weighted assets, there is a possibility that you adjust your risk-weighted assets to stay around EUR 400 billion. Or do you think there's a clear risk upwards if some of these things comes true, like harmonization that you highlight, et cetera?
Stefan Krause: I will say, first of all, don't forget, we still continue to get rid of NCOU assets. That will be an ongoing effort. And as you know, that's mainly driven by P&L, and we have been quite successful to have some flexibility here because we have had net gains on our derisking activities so far. And second, yes, there is further management action we can take and we would take in case that this -- where the -- let's say, we would get significant additional RWA hits from any of this change. So we will -- in that sense, yes, we have flexibility and management ability to deal with. Now to your asset reduction question, just a little bit. I agree that more can be done always, and that there is no technical impediment to doing more. But our current objective is that to get to this 3.5 leverage basis, as I discussed at the beginning of my presentation. We accept that we are not particularly ambitious in terms of overachieving and early achieving leverage targets because of our view on the meaning of them. And therefore, we are pacing to get to our targets, the reduction. Can more be done? Yes.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: Great. That's very helpful. If I may ask one more very quick one. July in terms of trading environment for the industry, how would you define that for fixed income? We're hearing kind of mixed messages around July. How do you see the trends in the industry in fixed income?
Stefan Krause: It's can't say. It's a little bit too early to really say trends. As you saw from my discussion around the quarter results, and you remember that even at the beginning of the quarter, we're reporting about -- my guidance was also more negative. I've learned not to take early developments into account because you see what bit of a miss we had with that forecast. So please understand, it's way too early to see any new trends developing.
Operator: Next question is from the line of Jernej Omahen of Goldman Sachs.
Jernej Omahen - Goldman Sachs Group Inc., Research Division: I just have a couple of short questions. On Page 4, going back to the previous question, when you decided to expand the headwinds on capital from the impacts of single supervision, why did you decide to do that now? And what exactly, particularly on this bullet on harmonization of regulatory treatments across Euro countries, do you have in mind? And are you essentially implicitly saying here that some of the more favorable treatment of Deutsche goes away as SSM kicks in? And the second questions I have, so can you just categorically say that you are still committed to the EUR 380 billion to EUR 395 billion risk-weighted asset targets? And can you just indicate whether you expect risk-weighted assets to go up further in the third quarter before they come down? Or do they expect them -- do you expect them to fall from here? And finally, on Page 36 of your presentation, a slightly odd question, I guess, but you showed that, that loan book in your CB&S has increased from EUR 42 billion, where essentially it was for a number of years beforehand, to EUR 48 billion, which is a 15% increase in 1 quarter, and I was just wondering what that is. And finally, and very -- a very straightforward question. On the usage of the TLTRO, what are your plans currently?
Stefan Krause: So thanks, Jeremy, for your questions. Let me start on this headwinds. Please understand, this is a matter of caution. We have no indication of anything specifically or unspecifically to happen, but we know that based on the way the AQR and then the later stress test has run and the objectives of the ECB around this, there, obviously, the intention is to harmonize, the intention is to compare, and we are just being honestly very cautious in that. We have no indication that any of -- I don't know if you specifically refer to benefits or whatever, because we don't see any benefits and I think previous comparisons of RWA have shown that we are in the midfield of comparisons in Europe. So there is nothing specific other than being just conservative and just making the market aware that obviously we will have events in October and late October and at the beginning of November where certain changes may occur. So take this just as pure financial conservativism without any direct indication. Now on the RWA increase, obviously, again, we have firmly committed to our number to stay around to EUR 400 billion for this year. And I bracket again my conservative statement from before in part of what we can directly control and short-term control, we will stay around this number. And then obviously, as our plan indicates, obviously, we hope to be able to then -- be able to grow our businesses as retained earnings allow us to achieve our targeted capital ratios. And therefore, we will continue to grow, and that's in the plan for 2015 and 2016. But this then, obviously, should hopefully then not be any methodology-driven RWAs, but business-driven RWA decision according to our plan. Now the next, third question on the loan book. We had an increase in CRE loans as a reflection of very good business developments. We also had some short-term loan increases that obviously we expect to reverse. And as you know, and I did admit that we had, obviously, some miss in terms of our targets for the balance sheet, partially, obviously, resulting to the cash, and partially also resulting -- and this was a CB&S issue in terms of how we manage our balance sheet there, should be no indication that we are turning to increase our balance sheet. If -- the next question you had to us, we're under TLTRO. We have no -- made no decision with respect to this participation, but I can also tell you, we will be financially driven if we make a decision for it to understand the benefits of it.
Jernej Omahen - Goldman Sachs Group Inc., Research Division: So Stefan, on this EUR 6 billion increase, you said it's commercial real estate lending, and that's, what, that is international commercial real estate financing, I guess.
Stefan Krause: Structured finance, CREB, LDCM business, yes.
Operator: Next question is from the line of Christopher Wheeler of Mediobanca.
Christopher Wheeler - Mediobanca Securities, Research Division: A couple of quick questions really. The first one is on Slide 6. You made some very enigmatic comments, Stefan, about the increase in exposure in the last few days of the quarter, in respect of the capital that came in. What exactly were you refer -- what's sort of inferring here in terms of what you might do with that exposure as we go into the third quarter? Would you be looking to perhaps redeploy that as part of the reduction in your sort of total asset base? And the second question really was about NCOU. You obviously made the point that you made excellent progress since you set it up, but things seem to slow down quite a bit in terms of both asset and RWA reductions in the quarter, where we appealed when we saw a lot of other banks reducing quite dramatically some of their noncore or legacy assets. Just wondering whether you're starting to hit the high-hanging fruits at the moment and what you think the pace of reduction might be over the next, say, 2 or 3 quarters.
Stefan Krause: Okay. Chris, thank you for your question. It's honestly a very -- on the balance sheet, it's a very easy thing -- we got the cash in from our capital very late in the quarter. And normally, obviously, we manage our cash balances, and we manage our liquidity, and it just came in very late. So a large part, and there was, let's not forget, only the cash from the capital increase, and then, obviously, we had the additional cash from our AT1 Issuance. So we adjust -- normally, we'll manage and absorb, obviously, liabilities with it, and it was just the timing effect that we couldn't. So that should not be seen as something that will be around in the third quarter, to answer your question.
Christopher Wheeler - Mediobanca Securities, Research Division: So in straightforward terms, that will just fall away pretty well by the time we see the next set of numbers. Okay.
Stefan Krause: Obviously with more capital, we'll be able to absorb some of our short-term liabilities. And therefore, obviously, that should not be an issue. That was just a timing issue. Now in terms of your NCOU question, as we have already said at the beginning of this year when we laid out the plan for the NCOU, the NCOU is focusing very much on the operating asset disposal, and I must really say that we have been extremely successful with this. As you know, we sold BHF. We sold the casino. So I think there is excellent progress in terms of the operating assets. We have told you and I think we've had one of the best NCOU performance on the street. I -- we can really claim that. They've been running ahead versus their original plan. That's why they already last year, you see -- I reported that we had some benefits of a faster derisking in the NCOU than we had originally anticipated. And of course, now we have assets that will just take a little bit longer, and our pace is expected to slow down. We said it in prior quarters as we go. But we will continue to reduce, and you see, there has been success in this quarter as well. It just will be slower-paced than we had in the last year.
Operator: Next question is from the line of Stuart Graham of Autonomous.
Stuart Graham - Autonomous Research LLP: Firstly, on the EUR 8.5 billion capital raise, what's the message that's gone to your traders now in terms of, is it okay to take more risk? Is there more tolerance? Is there some sort of strategic change in terms of how you think about the risk-taking capacity of the group with the extra EUR 8.5 billion? That's the first question. The second question is on the leverage ratio. You keep talking about the 3.5%, but there's also this target of reducing assets by EUR 250 billion. So is it the EUR 250 billion that matters? Or is it the 3.5% that matters and if you get the 3.5% with less than EUR 250 million, that's fine? And then the final question is back on Slide 6. I get the point about the EUR 8.5 billion and the EUR 3.5 billion coming in late, but that's kind of EUR 12 billion increase in cash, and you had EUR 29 billion increase. So I'm just wondering what the rest of it is because that seems a very big increase versus some of the declines you've had in previous quarters.
Anshuman Jain: Stuart, this is Anshu. Let me take your first question. It's very easy, absolutely no change in our trading patterns at all. This capital raise, as we have said many times, was intended to be a buffer to help protect the bank against a considerable volatility that we were anticipating. Nothing has changed on that front. Our operating strategy in CB&S remains unchanged to what it was prior to the capital raise. Clearly, the capital raise has made a difference, but it's more of a psychological difference in some ways, which is allowing us to win business, absolutely no changes, even now or in the future in terms of messages to traders. Stefan will take your next 2 questions.
Stefan Krause: Stuart, first of all, on the leverage ratio versus this 2 targets, we still need EUR 250 billion to get there, so I think it's just a mathematical question. What we wanted to switch on in our guidance that what's important for us is to hit a ratio at the end. We're going to always be measured by a ratio, and that's why you hear this slight change in tone, yes. But we still need this amount to get there. And obviously, we have that in our plan. So the EUR 250 billion, in that sense, we don't use as a full target anymore, but we say we need the EUR 250 billion to get there, not as a communicating. I wouldn't read more into it. There's nothing other than at the end of the day, what we'll count, longer term, is the ratio itself, and that's obviously what we are targeting. Now on the cash coming in late, it was EUR 14 billion of cash that we had as surplus, which was part of the ring [ph]. The remainder is just other assets, for example, including the EUR 7 billion loans we talked about. And I did admit also that we just had a miss in -- we normally set balance sheet targets for our quarter end. And obviously, we manage our balance sheet accordingly, and we just had -- in terms of some settlements, et cetera, we just had a miss at quarter end. Please, also, here, I can say, don't read anything in terms of a directional change or anything. It was just an -- more of an operational mishap. So these 2 effects were the 2 effects that created this increase in balance sheet this quarter. And both of them are things that we can very shortly get rid of. Again, nothing occurred here that kind of puts at risk our reduction plans, and we continue to be confident that we will be able to drive down our balance sheet over time by -- in the current math, so this shows EUR 250 billion to get to our ratio.
Stuart Graham - Autonomous Research LLP: And just so I understand how on top of these things, you are -- I mean, at the time of the rights issue, you're still guiding for trading revenues to be weak in the quarter. Obviously, June was much better. So was it an environment where it's like, okay, the trading is being better than we expected, we don't have to worry so much about missing at the end of the month? Whereas if trading had been poor, you would've been much more focused upon making sure because you didn't want to do a call where you missed on P&L and you missed on the balance sheet.
Anshuman Jain: Implied that there was a deliberate attempt to let the balance sheet go, once again, I would reiterate, no correlation.
Stuart Graham - Autonomous Research LLP: Not that it was a deliberate attempt, just you're a bit more relaxed about it because you knew the P&L was better than you had talked about previously.
Anshuman Jain: No, not the case.
Operator: Next question is from the line of Andrew Lim of Societe Generale.
Andrew Lim - Societe Generale Cross Asset Research: Can I start off with the high taxes and the litigation? You're saying here that the litigation provisions are non tax-deductible. Is that always going to be the case going forward because I see different treatments at different banks? And working on the premise of higher taxes, that's obviously depressing your net income. So you've got only like EUR 238 million net income this quarter. So what implications does that have for your dividend per share? Is that going to be held at the same level of EUR 0.35 for this year? Or was it still open for question? And of course, I'm asking this because you've got a big increase in your share count so your dividend expenditure in aggregate will be a lot higher than it would be last year if you kept the DPS the same. And then, a question on a missing slide, I think you've taken away a slide on the increase in your leverage exposure due to the latest BCBS proposals. And last time, you showed, it was EUR 140 billion, and I think you mentioned last time, it was EUR 100 billion next year in the leverage exposure. Could you update us on how much that is for this quarter? And then lastly, just passing on a request, if you could possibly report your results from the different dates to UBS, that will be very, very much appreciated.
Stefan Krause: I hope on your next call, you make the same request, that UBS report. I understand that that's a little bit unfortunate but obviously, that's driven by, obviously, our internal committee structures and iToC requirements as well. So regretfully, it's just not just a pure easy decision to make. It is tied up with obviously a lot of other consideration. So please understand, but that's why we're trying to accommodate here as good as we can. Let me cover the high taxes. First of all, it's just a rule. I think there should be no difference for any bank that the fines are not tax-deductible. And therefore, obviously, whenever we put reserves aside for fines, we cannot add tax on it, and I think that's just how it and in this quarter. We obviously had an impact for it because we put money aside for further fines that we expect according to the close monitoring that we have in all our legal expenses, and that increased our tax line and, therefore, obviously, increases our tax expense. And then the second, as I referred to was this external -- was obviously the external factor that we had the prior year tax expense. We get, obviously, discussions with tax authorities about how the world has changed quite a bit as you can read out of the press everywhere, we have to be more conservative in terms of interpretations and rulings on tax. And this quarter, which you really should see as a 1 quarter, one-off at the moment, we added to our tax provisions for prior year tax expense. That's what happened here. On the dividend. Obviously, the dividend decision has always been made after the year is over, and it's a decision that at the end -- gets done by Supervisory Board and then agreed upon by the AGM. So our behavior during the year is we will always accrue to the prior year dividend, and that should not be an indication of any decision we may take at the end of the year. And obviously, we kept the EUR 0.75 per share despite the fact that, obviously, we will have now a higher share count after the capital raise. So that's how you should understand this. Then on BCBS, obviously, not on purpose, I thought you might be bored by now on this endless discussion of different exposure measures. The numbers stays about at the -- we keep -- we have the same guidance at the end. It's around the EUR 100 billion higher exposure at this point in time, and I think, in previous calls, I also referred that our EUR 140 billion, I think, was the number exactly. So I think that's the number we have been tracking. So something between EUR 100 billion to EUR 140 billion more in exposure measure. And again, what the question here is, what's going to be the final ratio going to be? Is it going to be 3% or 4%? But it's too early to tell. But I think we will be able to cover any of those definitions as far as we can see today from our planning. I hope I have all your questions.
Andrew Lim - Societe Generale Cross Asset Research: Sorry, just to clarify, do you accrue to the previous year's dividend per share or the [indiscernible].
Stefan Krause: Yes, dividend per share. EUR 0.75. With higher share count, so we are putting more money aside, yes. It's -- we do it EUR 0.75 per share. That's what we accrued to. But this is no indication of decision. This is -- it's what we financially do.
Operator: Next question is from the line of Robert Murphy of HSBC.
Robert Murphy - HSBC, Research Division: I just wanted to come back to the contingent liability increase on the litigation slide, I think it's Slide 7. Could you say what areas your -- that's related to? And then secondly, in terms of the rep and warranty slide on the right-hand side there, can you say what the actual revenue impact has been, so on average last year and how much it was in Q1 and Q2?
Stefan Krause: Yes. Okay. Yes. On the -- it was mainly U.S. RMBS, yes, by far. That's what is -- what's -- was the contingent increase, yes. So -- and I referred to other bank's expenses in that, as you know that's how the system works. And then on reps and warranties, we have to go back to you. I don't have an answer to that question.
Robert Murphy - HSBC, Research Division: I had a follow-up as well on the Private & Business Clients. You talked about a sort of more stable revenue comparison x one-offs. Can you say what the outlook is for revenue growth in that business if you look over the next 2 or 3 quarters? And how much margin pressure is going to still weigh on the revenues there?
Stefan Krause: We see -- in a couple of our stable businesses, we see quite interesting developments, and that's also relevant. You see, we continue to do good on the volume front. But obviously, interest margin and interest rate development is having its impact on IBIT. And that's why we also expect that we have continued interest rates pressure and -- but an ongoing increase in investment products. So that -- volumes go up and -- but margin pressure moves IBIT down, so regretfully the good volume development we cannot show. The positive about this, once we have a turn in the interest rate, obviously, we will have rapidly picking up IBIT in this businesses.
Robert Murphy - HSBC, Research Division: Yes. But we don't really have any sort of detail on margins, but can you say what the gap is between the sort of margin on new business versus the back book or something in there? Just, I mean, could you give us an idea the repricing impact? When that sort of [indiscernible].
Stefan Krause: Yes. Probably to come up with the average number there is probably not conducive because, obviously, of the mix effect different products. But I think you've also seen the decline in interest rates is quite significant. So we can assume that new business, obviously, is impacted by it.
Operator: Next question is from the line of Andrew Stimpson of Bank of America.
Andrew Stimpson: Clearly, it's been a good quarter for the FIC franchise. So I was just thinking back to what Stefan said on the capital raise call, that you are not allocating capital to the businesses according to leverage just yet? I'm just wondering if that's one of the reasons you're able to compete fairly effectively at the minute and just, I guess, just if you could talk around that because I'm just a bit worried that maybe some of these gains in market share, either they're not economical from a leverage standpoint or that they -- maybe they reverse once you do start applying a leverage filter when allocating the capital.
Anshuman Jain: No, I wouldn't say that our market share gains have much to do with balance sheet deployment at all. As we have said a couple times before on this call, our plans on both balance sheet and capital as far as CB&S is concerned remain unchanged materially from before the capital raise. The market share gains that we have seen in the second quarter are very broad-based. We've said that we've seen market share gains in Corporate Finance, in M&A, in debt capital markets, none of which would have much to do with balance sheet areas. Actually, the balance sheet dominant areas, which are Flow, foreign exchange and fixed income, continue to be very challenged both on absolute and relative terms.
Operator: Next question is from the line of Kinner Lakhani of Citi.
Kinner R. Lakhani - Citigroup Inc, Research Division: So first question was on your OpEx program and the residual cost savings that you were targeting. Just wanted to see if you could give us some guidance of how you see the balance in terms of the split by division. Second question, on resolution fund, any updated thoughts on what kind of increased contribution that you could see over the coming years? And third question, on the NCOU IBIT disclosure on Slide 32, which is very helpful, we're trying to get a better feel for how you see the kind of fade-out and resolution component of that materially resolving by end 2015, as you say in the outlook statement.
Stefan Krause: The questions on OpEx, I don't think we have an allocation to the different business divisions. It's pretty across -- we had originally provided some split. If you go back to some of our old presentation, you may see it, and we're pretty much in line with the split. We have actually not really changed any of these targets from a division standpoint. So I think you can apply the same spread that you did -- we have more or less if you want to do the math.
Kinner R. Lakhani - Citigroup Inc, Research Division: Do you think all divisions are running roughly same pace?
Stefan Krause: Same pace where they have individual targets, yes. So those targets that we had originally disclosed of how much OpEx savings per division. I think there's a previous presentation on it and just use the same percentages more or less. There's not been much more...
Kinner R. Lakhani - Citigroup Inc, Research Division: Right. I'm thinking more about the residual cost savings, if the residual is at the same pace.
Stefan Krause: But it's pretty much in line if you want to apply the math. It's been -- with some of them, obviously, we have had -- obviously, our focus is on achievements on group level. That's important to us. But our split, if you want to calculate the split, the timing of these, there was no big difference between how the timing of cost savings will come in division. All of them had short term. At low-hanging fruit, all of them had longer-term project that would be realized. So I think, just apply this percentages and I think you should be broadly in line. Now on the resolution funds, there's no final quantification available. We currently, obviously, expect to increase the expenses, which we have now put into our plan in the future. So it is part of our capital plan already. But it's very difficult for us to make any statements around how big this expense is, we will need to more about detail and understand. And last, but not -- on the IBIT disclosure, on fade-out and resolution, we did provide here, so you understand a little bit these dynamics because there is so much movement into this -- into the P&L. Fade-out and resolution, obviously, is a part that I told you, that the low-hanging fruit, and the fast and easy disposals are behind us and then that's going to move at a little slower pace now. We had indicated that in a couple of the last quarter calls, so that was our expectation for the year. As you saw, we are -- this year was a year where we especially wanted to focus on our operating assets. And as you also saw in this quarter, if you look at the charges, for example, we had with Maher, we continue to work. We got rid of BHF. We sold BHF. We sold the casino. We are working, obviously, as you can see, on our P&L this quarter on the ports, and that has been the focus of NCOU, whilst obviously, we'll continue at a slower pace on that derisking of our ongoing assets. But I did make you aware that there is a longer tail that will be with us for a little bit longer time, and that we will continue to behave economically rational in terms of capital creation, in terms of -- as we to continue on -- with the ongoing derisking of NCOU.
Operator: And the next question is from the line of Omar Fall of Jefferies.
Omar Fall - Jefferies LLC, Research Division: Two questions, please. Firstly, could you give us some color on the rates business within FIC and how that's behaved through the quarter, and particularly through the upswing in June? We know credit revenues recovered, thanks to somewhat better volatility in that month, but I'm curious to know how your rates business behaved over that same period and, in particular, just some commentary over the structural versus cyclical rebasing that we've had. Secondly, could you give some more color on the EUR 7.8 billion increase in operational risk? And apologies if I missed that earlier. Is that just a broader model update? Or as we've seen for some of your competitors, is it linked to a particular issue that was driven through by regulators?
Anshuman Jain: On the rates side, we see challenges which are both structural and cyclical. We expect these challenges to continue. There were some evidence that we are taking market share, particularly in Europe, where the fee pools are consolidating towards -- that remain committed to this space, but I wouldn't say it was a major contributor to a better second quarter performance. And frankly, I expect the headwinds to continue.
Stefan Krause: Okay. And Omar, on your question about the op risks, I did refer some in previous statements, but no problem to tell you what's mainly methodology changes in terms of operational risk, RWA, where our current modeling now approach has changed, and it includes forward-looking components. So it is a broader model update, which, obviously, includes a number of smaller changes. And this -- the main change, if I can synthesize it, is really the fact that we've had so much litigation in the industry that models have to consider now on a looking forward basis their operational risk related to that. And that, I said -- and there's no -- it's just a methodology question on how you approach it.
Operator: Excuse me, there are no further questions at this time. Please continue with any other points you wish to raise.
John Andrews: Thank you, operator. This is John Andrews again. We'd like to thank you for your time today. Obviously, you can follow up with the IR team here at Deutsche with any further questions you may have, and otherwise, we wish you a good day.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining and have a pleasant day. Goodbye.